Operator: Please standby, we are about to begin. Good morning, and welcome to the Ryder System Second Quarter 2023 Earnings Release Conference Call. All lines are in a listen-only mode until after the presentation. Today's call is being recorded. If you have any objections, please disconnect at this time. I would now like to introduce Ms. Calene Candela, Vice President, Investor Relations for Ryder. Ms. Candela, you may begin.
Calene Candela: Thank you. Good morning, and welcome to Ryder's second quarter 2023 earnings conference call. I'd like to remind you that during this presentation, you'll hear some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political and regulatory factors. More detailed information about these factors and a reconciliation of each non-GAAP financial measure to the nearest GAAP measure is contained in this morning's earnings release, earnings call presentation and in Ryder's filings with the Securities and Exchange Commission, which are available on Ryder's website. Presenting on today's call are Robert Sanchez, Chairman and Chief Executive Officer; and John Diez, Executive Vice President and Chief Financial Officer. Additionally, Tom Havens, President of Fleet Management Solutions; and Steve Sensing, President of Supply Chain Solutions and Dedicated Transportation Solution, are on the call today and available for questions following the presentation. At this time, I'll turn the call over to Robert.
Robert Sanchez: Good morning, everyone, and thanks for joining us. I'm very proud of the strong second quarter results delivered by our team despite challenging freight conditions. As many of you know, several years ago, we adopted a balanced growth strategy and have since been focused on its execution. As we'll discuss on today's call, the transformative changes we've made to derisk our business model, enhance returns and free cash flow and drive long-term profitable growth have significantly increased the earnings and return profile of the company even in the market conditions we are currently seeing. Results for the quarter were above our forecasts reflecting better-than-expected performance in all three business segments. I'll begin today's call by providing you with a strategic update. John will then take you through our second quarter results. We'll then discuss our outlook. Let's begin on Slide 4. Our strong year-to-date performance and increased forecasts provide clear evidence that our balanced growth strategy is working. We've executed transformative changes that have increased the earnings and return profile of the business. Our updated model is proven to be more resilient than prior cycles. We see incremental opportunity ahead from our initiatives, as well as the secular trends that continue to favor transportation and logistics outsourcing. We remain focused on enhancing returns above target ROE of 24% for the trailing 12-month period, reflects elevated market conditions in FMS during the second half of 2022 as well as the benefits from our initiatives. These initiatives include pricing and cost recovery actions, which benefited returns in all segments. Our outlook for ROE remains strong and we expect to end 2023 in line with our high teens target despite weak freight conditions. All three business segments achieved target EBT margins during the quarter. And our enhanced asset management playbook has enabled us to generate higher earnings in each phase of the cycle. We recently announced a 15% increase in our quarterly dividends, which demonstrates our confidence in the long-term earnings generation of the model. Our strong balance sheet and solid investment grade credit rating continue to provide us with ample capacity to pursue targeted acquisitions and investments, as well as return capital to shareholders. We repurchased 1.1 million shares during the quarter under our repurchase programs. Since the beginning of 2021, we've repurchased approximately 15% of our outstanding shares. We are encouraged to see the accelerated timing of OEM deliveries because it's allowing us to fulfill these contracts sooner. Our capital expenditures have increased as a result of these earlier deliveries, which in turn has lowered our expected free cash flow for the year. Slide 5 illustrates the increased earnings and return profile that has resulted from our business model transformation. In 2018, prior to the implementation of our balanced growth strategy, we generated comparable earnings per share of $5.95 and return on equity of 13%. This was during peak freight cycle conditions. At that time, the majority of our $8.4 billion of revenue was from FMS. Supply chain revenue had a 3-year growth rate of 16%. Operating cash flow was $1.7 billion. Now let's look at Ryder today. In 2023, during a freight cycle downturn, our updated model is expected to generate meaningfully higher earnings and returns than it did during the 2018 freight cycle peak. Comparable earnings per share is expected to be $12.20 to $12.70 compared to $5.95 in 2018, and return on equity is expected to be in our high teens target range, well above the 13% generated in 2018. Our revenue mix has shifted towards supply chain and dedicated with 55% of 2023 revenue expected from these asset-light businesses compared to 44% in 2018. Supply chain growth rate is expected to increase to 24%. As a result of profitable growth in our contractual lease, supply chain and dedicated businesses, operating cash flow is expected to increase to $2.5 billion this year. As illustrated here, the business is outperforming prior cycles, even when comparing prior peak to current downturn conditions. I'm proud and encouraged by the results of our transformation thus far, and I'm confident that there will be incremental benefits beyond 2023. Slide 6 highlights key areas of focus for our balanced growth strategy and the actions we've taken to transform the business. Reducing the reliance on used vehicle proceeds needed to achieve ChoiceLease returns has been a key initiative to derisk our business model. Our pricing residuals today are approximately 40% lower than they were in 2017, resulting in higher cash flows coming from more stable and predictable lease payments rather than more cyclical used vehicle proceeds. This has been a key driver of higher lease performance. We've optimized our FMS business mix by exiting our sub performing U.K. and lease liability insurance businesses. Returns on our ChoiceLease portfolio have been enhanced by expanding pricing spreads that have resulted in better aligning price with customer segmentation. We continue to expect incremental benefit from our overall lease pricing initiative, as approximately 70% of our lease portfolio has been priced under our updated model, and an additional 10% is under contract and awaiting vehicle delivery. This initiative is expected to be fully implemented by 2025, with an estimated total annual benefit of $125 million. Results are also benefiting from our multiyear maintenance cost savings initiatives, which have generated over $100 million in annual savings today compared to 2018. Moderate lease growth at higher returns has increased our expected free cash flow, with positive free cash flow expected in most years and over the cycle. Higher lease fleet growth targets and related capital expenditures prior to the balanced growth strategy pressured historical free cash flow. A key component of our balanced growth strategy has been to accelerate growth in our higher return, asset-light supply chain and dedicated businesses. As a result of several strategic acquisitions, investments in technology and new product development as well as secular trends that favor logistics outsourcing, 55% of our 2023 revenue is expected to come from our asset-light supply chain and dedicated businesses, as mentioned earlier. Our 3-year revenue growth rate for supply chain has increased from 16% in 2018 to 24% today. Overall, the transformative changes we've made to the business are improving returns and positioning our business for long-term profitable growth. I will turn the call over to John to review our second quarter performance.
John Diez: Thanks, Robert. Total company results for the second quarter are on Page 7. Operating revenue of $2.3 billion in the second quarter, up 1% from the prior year, primarily reflects revenue growth in supply chain and dedicated, partially offset by the FMS U.K. exit. Comparable earnings per share from continuing operations were $3.61 in the second quarter, down from a record $4.43 in the prior year, reflecting expected weaker market conditions in used vehicle sales and rental. As we discussed in our prior calls, GAAP EPS in the second quarter was impacted by a one-time noncash cumulative currency translation charge related to the exit of our U.K. business. Return on equity, our primary financial metric, was 24% and remained above our high teens target, reflecting elevated used vehicle sales and rental market conditions in the second half of 2022 as well as our returns initiatives. Year-to-date, free cash flow decreased to $16 million from $551 million in the prior year due to increased capital expenditures and lower used vehicle sales proceeds. Turning to FMS results on Page 8. Fleet Management Solutions operating revenue decreased 4% as a result of exiting the U.K. Operating revenue in North America was unchanged, as higher SelectCare and ChoiceLease offset lower rental demand. Pre-tax earnings in Fleet Management were $180 million and down year-over-year as anticipated. Prior year results reflect record pre-tax earnings in Fleet Management, largely due to elevated market conditions in used vehicle sales and rental. Lower used vehicle pricing in the quarter was partially offset by higher sales volumes. Rental utilization on the power fleet of 75% was in our mid- to high-70s range, but down from prior year record levels of 85%. Lower utilization was partially offset by a 2% increase in power fleet pricing. Despite a weaker used vehicle sales and rental environment, Fleet Management EBT as a percent of operating revenue remained strong at 14.4% in the second quarter, above the segment's long-term target of low double digits. For the trailing 12-month period, it was also above target at 17.2%. Page 9 highlights used vehicles sales results in North America for the quarter. As anticipated, market conditions for used vehicle sales continue to normalize from elevated levels in the prior year. Compared with prior year, used tractor proceeds declined 41%, and used truck proceeds declined 34%, reflecting weaker freight conditions. On a sequential basis, proceeds for tractors decreased 15% and proceeds for trucks decreased 14%, both generally in line with expectations. During the quarter, we sold 5,500 used vehicles, up sequentially versus prior year. Used vehicle inventory increased to 7,000 vehicles at quarter end and is in line with our target inventory levels of 7,000 to 9,000 units. Increased sales volumes and inventory levels reflect higher lease replacement and rental de-fleeting activity. Although used vehicle pricing declined, proceeds remain above residual value estimates used for depreciation purposes. Slide 20 in the appendix provides historical sales proceeds and current residual value estimates for used tractors and trucks for your information. Turning to supply chain on Page 10. Operating revenue increased 8%, reflecting new business, higher volumes and increased pricing. Double-digit revenue increases in automotive, CPG and industrial verticals more than offset the softer volumes in omni-channel retail. Supply chain EBT increased 23%, reflecting revenue growth and lower incentive-based compensation costs as well as prior-year customer accommodation charges, which also benefited earnings comparisons. These items were partially offset by lower volumes in the omni-channel retail vertical. Supply Chain EBT as a percent of operating revenue was 8.7% in the quarter, returning to the segment's high single-digit target range as profitable growth more than offset lower omni-channel volumes. Moving to Dedicated on Page 11. Operating revenue increased 7%, reflecting inflationary pricing and higher volumes. Dedicated EBT increased 43%, primarily due to operating revenue growth and improved labor productivity. We continue to see improvement in the number of open positions and time-to-fill for our professional drivers. Dedicated EBT as a percent of operating revenue of 10.3% was above the segment's high single-digit target. During the quarter, we saw slower contract sales activity in Dedicated, consistent with a softer freight environment. As we discussed last quarter, we expect Dedicated sales activity to moderate for the remainder of the year and expect segment revenue growth to be below our high single-digit target range. Dedicated remains on track to achieve its high single-digit target for segment pre-tax earnings. Turning to Slide 12. Year-to-date, lease capital spending of $1.4 billion was up from prior year, reflecting increased lease replacement and growth activity as well as the accelerated timing of OEM deliveries in the quarter. Year-to-date, rental capital spending of $310 million was below prior year as planned. Our 2023 forecast for lease capital spending of $2.6 billion reflects higher lease replacement and growth capital versus prior year. Although we now expect the ending lease fleet to be up 7,000 to 8,000 vehicles versus prior year, due to the accelerated timing of OEM deliveries, ending active fleet is expected to be up by approximately 4,000 vehicles. In rental, our ending fleet is now expected to be down 11% or 4,600 vehicles, reflecting higher rental redeployment activity. Our average fleet is anticipated to be down slightly from 2022. Our full year 2023 capital expenditures forecast increased to approximately $3.2 billion due to the accelerated timing of OEM deliveries. We continue to expect proceeds from the sale of used vehicles of approximately $800 million in 2023, below prior year, which included $400 million of proceeds related to the U.K. exit. Full year 2023 net capital expenditures are now expected to be approximately $2.4 billion. Turning to Slide 13. We've decreased our 2023 forecast for free cash flow by approximately $100 million to reflect the accelerated timing of OEM deliveries and the corresponding increase to lease capital expenditures. The forecast for operating cash flow increased to $2.5 billion. As shown, the trajectory of our cash flow continues to improve over time, reflecting growth in our contractual supply chain, dedicated and lease businesses, which comprised approximately 85% of Ryder's operating revenue. Our free cash flow profile has changed significantly since the implementation of our balanced growth strategy. Since 2020, lower targeted lease growth as well as COVID effects and OEM delays resulted in lower capital spending and higher free cash flow. Proceeds from the exit of the U.K. FMS business also benefited free cash flow in 2022. The summary on the right side of the slide illustrates the strong free cash flow generated by the business prior to investing in fleet growth. In 2023, we expect to generate approximately $100 million of free cash flow. And prior to investing in growth capital, this number is expected to be approximately $500 million. Our capital allocation priorities continue to support our strategy to drive long-term profitable growth. Our top priority is to continue to invest in organic growth. We will continue to pursue targeted acquisitions, which have been a key contributor to accelerate growth in supply chain. Acquisitions have helped transform our supply chain business, both in terms of expanding capabilities as well as rebalancing our vertical mix. Balance sheet leverage of 211% was below our 250% to 300% target and provides ample capacity to fund organic growth and targeted acquisitions as well as to return capital to shareholders through share repurchases and dividends. With that, I will turn the call back over to Robert to discuss our enhanced asset management playbook and outlook.
Robert Sanchez: Thanks, John. Page 14 provides key highlights from our enhanced asset management playbook, which is focused on optimizing returns over the cycle from our transactional used vehicle sales and rental businesses. In response to weakening used vehicle and rental demand, we are redeploying underutilized rental vehicles to fulfill lease, dedicated and supply chain contracts. In 2023, we expect to redeploy between 3,000 and 4,000 units to align our rental fleet with demand conditions. This elevated level of redeployment activity is enabling us to fulfill these contracts sooner and is also contributing to higher lease fleet growth. Rental utilization for the full year 2023 is expected to be within the target range of mid to high 70s. In used vehicle sales, we are leveraging our expanded retail sales network. Since 2019, we've increased our retail sales capacity by approximately 50% by adding physical locations and increasing our inside sales team to capture digital sales opportunities. Increasing retail sales volumes benefits results, as wholesale proceeds have historically been at a 30% discount to retail proceeds. And finally, we continue to shift our vehicle mix in rental towards trucks, where we see stronger demand trends that have historically been more resilient than those of tractors. By year-end 2023, we expect that trucks will be approximately 60% of the North American rental fleet, up from 49% in 2018. Although earnings are impacted by the freight environment, successful execution of our enhanced asset management playbook is generating higher earnings in each phase of the cycle. Turning to Page 15. We are raising our full year 2023 comparable EPS forecast range to $12.20 to $12.70, up from the prior range of $11.30 to $12.05. Our increased forecast reflects better-than-expected year-to-date results in used vehicle sales, ongoing maintenance cost improvements and supply chain automotive performance, partially offset by softer conditions in omni-channel retail. Full year 2023 GAAP EPS forecast includes approximately $3.96 from the cumulative currency translation that was recorded in this quarter. We are also providing third quarter comparable EPS forecast of $3 to $3.25 versus the prior year of $4.45. Our 2023 return on equity forecast has increased to 17% to 19% from 16% to 18% in line with our long-term high teens target. We expect strong earnings in 2023, although down from the prior year as market conditions and used vehicle sales and rental declined from elevated levels in 2022. Turning to Page 16. We believe Ryder is well-positioned to increase shareholder value. We see significant opportunity for profitable growth supported by secular trends, our operational expertise and ongoing momentum for our multiyear initiatives. We've made transformative changes to our business model and continue to demonstrate strong execution on our balanced growth strategy, which has positioned us to achieve our long-term targets, increased business model resiliency and outperform prior cycles. We remain committed to investing in products, capabilities and technologies that will deliver value to our customers and our shareholders. That concludes our prepared remarks. Please note that we expect to file our 10-Q later today. We had a lot of material to cover today, so please limit yourself to one question each. If you have additional questions, you're welcome to get back in the queue and we will take as many as we can. At this point, I'll turn it over to the operator.
Operator: Thank you. [Operator Instructions] We will take your first question from Jordan Alliger from Goldman Sachs.
Jordan Alliger: Yes, hi. Good morning. Supply Chain margin had a really, really nice pickup sequentially year-over-year. Can you -- I know you touched on it a little bit, can you maybe delve into it a little bit more, the keys to success in that ramp? And really what the key few points are is to sustain margins at your target levels, especially given presumably over the next year or two, the pipeline should be pretty robust. So I imagine it's sort of a trade-off. We are basically trying to assess how much business to take on, how to price it, the margin, et cetera. So since that's sort of been a key focal point for you guys, this asset-light shift, some color on that would be great. Thanks.
Robert Sanchez: Yes. Thanks, Jordan. Just to remind everybody, our target for profitability on Supply Chain is at high single digits. So we are really pleased to be there this quarter and certainly expect to be there for the balance of the year. And that's really a result of not just the pricing of new business, but also the work we've done over the last year to make sure that we had passed through the cost increases that we needed to, especially in our automotive business. So this quarter was really more a story about automotive getting back to where it needed to be. We still have some headwinds in our omni-channel retail business, which we expect over time, as we work through that, and we continue to see growth in that area, that will pick up also. So we feel good about the opportunity and the -- our ability to continue to grow the top line and supply chain, both organically and through acquisitions. And with that, continue to grow the bottom line.
Jordan Alliger: Thank you.
Operator: [Operator Instructions] We will move next to Scott Group from Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Good morning. Robert, I know it's probably a bit early, but how do you think about the puts and takes for earnings next year? I don't know, any thoughts on gains, depreciation, anything else? Ultimately, I guess I'm trying to figure out, like -- is your view of normalized earnings that you've given us in the past, is that view changing at all? And then just maybe bigger picture, like obviously, the stock's at a pretty low valuation. I'm just wondering what the things that you and the Board are discussing and thoughts of creating more shareholder value.
Robert Sanchez: Yes. So Scott, as we -- as you look at next year, I mean, we are going to come off of, I would say, exit the year with strong earnings and revenue growth. Obviously, down year-over-year primarily because of the used vehicles and rental, but growth and really the contractual parts of the business. As we go into next year, I would expect lease will be a bigger contributor to the earnings next year, because this year, it's really been more towards the tail end of the year that we are going to ramp up the growth in lease as a result of the OEM delivery delays. Supply Chain and Dedicated, again, continuing to sell into next year. We expect their earnings to grow along with revenue. As far as used vehicle and rental, it depends on what happens with the cycle, right? So right now, probably our best view is that you're going to see the market probably trough somewhere in the first half of next year and then probably begin to pick up in the second half. So what that means for the full year is still to be determined. But I think, hopefully, you see that with this quarter and what we are doing with the full year forecast, I think we are showing that even in a pretty significantly difficult freight environment, we’ve higher earnings, we’ve less risk in the business, higher earnings and higher returns profile in the business model. And that's really been a result of all the actions we've taken in the last -- almost 4 years now that we've been working on this balanced growth strategy. So we feel really good about that. I think the way to think about the business going forward is we've got a model out that is going to have higher highs and higher lows. We got a higher earnings power for this business. An example of that is if you look at our return on equity, historically, our peak return on equity has been in the mid teens. Now we are calling for that to be our trough return on equity and our peak return on equity to really be in the low 20s. So it's just a different model now because of the changes that we made, that we outlined those, some of the big ones there on Slide 6 of the presentation. So as you go into next year, you should expect, again, core earnings to continue to grow. You're going to have some movement still in used trucks and rental, depending on what that -- how they do it. But again, our return on equity and our ability to hit strong returns in our businesses, we feel really good about. As far as the valuation and where we are trading, clearly, we are currently trading well below our historical multiples, even though we believe that given the changes that we've made, our business has less risk and better returns today than it did in the past. Our year-to-date results and our updated forecast I think is a significant proof point that demonstrates the improved earnings power of the company, even in a slowing freight environment. So I expect that as we continue to perform over the freight cycle, that, that will be reflected in the valuation.
Scott Group: Okay. Thank you, guys.
Operator: We will hear next from Jeff Kauffman from Vertical Research Partners.
Jeff Kauffman: Thank you very much. Hey, everybody. Well, first of all, congratulations. And boy, a lot of moving pieces this quarter. You answered my fleet utilization question, because I thought it's a little closer to the lower end of what you are comfortable with. So you're saying average, kind of mid to high 70% range for the year. So that would imply it gets better in the second half of the year. Am I understanding that right?
Robert Sanchez: Yes.
Jeff Kauffman: Okay. And then just a quick question on the CapEx. So delivery was accelerated. As a result, CapEx up about $200 million. A lot of other fleets I talk to say, look, any catch up that we need to do is being done at the end of 3Q. Where do you stand on getting caught up on CapEx? And is this extra $200 million catching up from last year? Or is this stuff that we are not going to have to spend next year? How should I think about this $200 million change because of faster supplier deliveries?
Robert Sanchez: Yes. It's really -- remember, we were sold out for most of this year already. So some of this is units that probably would have come in in 2024 that are now being delivered in 2023. So we still have a long pipeline of deals that have been signed, that we are still waiting for the vehicles to come in. Certainly, through the balance of this year, and then even some going into next year. Now we no longer have a 12-month lead time as we did a year ago. So today, we are looking more probably like a 9-month lead time. So that's been some improvement there overall also. But the good news is that we've got pretty good visibility to ongoing business in the lease business that is going to continue to come in over the next year, call it, in the next 12 months at least or 1.5 years. And that will contribute to earnings as we go into 2024.
Jeff Kauffman: Okay. And last question. A lot of companies that are looking to try battery electrics or zero-emission vehicles are going to lease them through Ryder, at least initially. What are you seeing on the customer demand side? We are hearing some fleets were gung-ho to get into that and now they're kind of pulling back a little bit on whether it's charging infrastructure, just understanding the vehicles better. But can you talk a little bit about some of the new vehicle technologies and what some of your customers are doing with respect to plowing into that area?
Robert Sanchez: I will let Tom give you a little bit more color. But as a general statement, I'd tell you that we are very involved in this. And I think right now, we are seeing more interest and demand is probably on the light duty delivery vans, where the charging infrastructure is not as significant an investment as it is on the heavier to medium duty. Cost also is an issue on the -- vehicle cost is an issue on the heavy and medium. So we are focused more right now with our customer, which is where our customers are interested is more on the light duty delivery vans. Tom, do you want to give a little more color?
Jeff Kauffman: Thank you.
Tom Havens: Yes. So, Robert, thank you and good morning, Jeff.
Jeff Kauffman: Good morning.
Tom Havens: Like Robert -- yes, good morning. Like Robert said, the light duty, there's more of a clear path to the total cost of ownership and with the infrastructure as well. So I think more of the activity we are seeing now from our customers is on the light duty side. I think there are customers interested in testing and continuing to try out more of the medium duty and heavier duty equipment. We have relationships, as you know, with most of the OE suppliers that are going to be playing in that game. But still, the total cost of ownership and the infrastructure challenges along with that are still a pretty big hurdle. We do have vehicles in our fleet to test, which customers are trying, but they still haven't yet kind of crossed the line and stepped in a big way. And we'll see over time how that changes and progresses. I think the other area, there's still a little bit of uncertainty in terms of regulations and incentives, particularly in the state of California. And getting clarity on those regs and regulations over the next even 6 months here is going to help the industry make some of those long-term decisions.
Jeff Kauffman: Okay, great. Thank you very much. That's all I have.
Tom Havens: Thanks, Jeff.
Operator: We will hear next from Brian Ossenbeck from JPMorgan.
Brian Ossenbeck: Hey, good morning. Thanks for taking the questions. I just wanted to see if you could offer some comments on the pipeline and the conversations around DTS and SCS. And I know you mentioned a little bit of a slowdown, but how has that trended more recently? And are there any verticals or end markets that you're more or less excited about or seeing more demand from?
Robert Sanchez: Sure. Let me hand it over to Steve to give you some color there.
Steve Sensing: Hi, Brian. Thank you. Good morning. I'll get on supply chain. I think as you look at it quarter-over-quarter, the pipeline remains very healthy, up [technical difficulty] percentages year-over-year [ph]. We continue -- as we sign business, we continue to sign new [technical difficulty] 35% of our new sales. So that continues to be a good sign, and then the remaining balance is expanding to new services and capabilities with our existing customers. So on the supply chain side remains very strong. We are on track to our target midyear. On Dedicated, as Robert said earlier, seeing a little softness really due to the freight market. Customers are delaying decisions and really taking advantage of a low spot market rate right now. So they're really trading service for cost. We expect that to bounce back hopefully by the end of the year, but more than likely first part of '24 once the spot market hits the bottom. So the pipeline remains slightly down on Dedicated, but we are still focused on the balance of the year.
Brian Ossenbeck: And any verticals within, I guess, SCS that are more or less exciting from the pipeline conversations?
Steve Sensing: Well, no, they're all up. As I look at each one of the pipelines, e-com remains up year-over-year. Last mile is up about 15%, CPG is up. So we've got our teams focused on these industry verticals as our teams are structured that way and excited about the pipelines really across the board.
Brian Ossenbeck: Okay. And then just a follow-up for you, Robert. If you can just give some thoughts on the direction and expectations for used vehicle pricing, probably more so focused on tractors, but what you have expected through the rest of the year? Will the OEM increase in deliveries will actually have an impact on used vehicle pricing, one way or the other? And I guess, ultimately, should we still expect some level of gains into 2024 just based on where residuals are and just the normal churn in the lease fleet?
Robert Sanchez: So yes, I guess our view for used truck market hasn't changed much since the beginning of the year. We assumed it was going to decline throughout the year. It has declined a little -- at a slower clip, I guess, through the first half of the year than we expected, but we are assuming it to continue to decline for the balance of the year. So yes, normally, if you look at normal historical cycles, that should mean that it's bottoming out sometime in the first quarter of next year, but we will see. Every cycle is a little bit different. And your second question on should we expect gains next year, I mean, without knowing exactly what's going to happen, the answer is yes. I would expect gains next year given where our residual values are. You've got trucks and trice [ph]. We have that one chart that we show in the appendix of the earnings deck where you can see where prices ended in the second quarter and where our residuals are, and there's still significant amount of space between those.
Brian Ossenbeck: Okay. Thanks for your time. Appreciate it.
Robert Sanchez: Thank you.
Operator: Allison Poliniak from Wells Fargo has your next question.
Allison Poliniak: Hi. Good morning. Just wanted to turn back to SCS. You did talk about the lower volumes impacting margin. Is there any way to help us quantify that to understand sort of what that impact was and how we should think about that? I would say, incremental is more -- obviously, when we are coming on that inflection. Thanks.
Robert Sanchez: Yes. Look, I would tell you, the lower volumes were really primarily around our omni-channel retail sector. And within that, it was really a Ryder Last Mile. So if you look at our big and bulky delivery business, that was down about -- the volumes were down about 20% there. So that impacted the business. Around e-commerce, the volumes through e-commerce business are down some, the throughput. Plus we've added some infrastructure. We now want to make sure we fill up that infrastructure. So to me, that's a matter of timing. E-commerce deliveries and even the Ryder Last Mile, the Last Mile, big and bulky deliveries had really gone up post-COVID pretty significantly. And we are seeing those things come back down now to levels where you would expect them to be based on the trajectory it was headed pre-COVID. So we think that's a matter of time as we continue to fill up those facilities and we get those volumes back. We feel good about where that is. Now on the flip side of that, I would tell you, we still see -- we saw strong volumes in automotive and industrial, CPG. All of those verticals are really seeing good returns, good volumes. And that's really why you see supply chain, even with the headwinds in the omni-channel vertical, we are still getting good returns, and it's because it's offset by the returns in these other businesses.
Allison Poliniak: Got it. Thank you.
Robert Sanchez: Thank you, Allison.
Operator: We will hear next from Justin Long from Stephens.
Justin Long: Thanks. Sorry if I missed it, but I was wondering if you could share the monthly trends that you saw in the rental business during the quarter. And there's a lot of discussion right now around Yellow. But in the event that Yellow does go bankrupt, any thoughts around the potential impact that could have to the broader rental market and the used equipment market as well?
Robert Sanchez: Yes. I will let Tom give you the rental month-to-month for the quarter. But I will tell you that -- the Yellow bankruptcy, if that did happen, certainly would be a -- there'd be a pickup in rental as other companies in that space look for equipment in order to pick up the business that's been let go. So net, that would certainly be a benefit to our rental, and to a certain extent, used trucks as -- if owner-operators jump in and are doing some of that business. But I think you'd see it really on the rental side, which right now, given where we are with utilization and where the market is, we'd have the equipment to be able to meet some of that need. But Tom, do you want to give them the rental utilization through the quarter?
Tom Havens: Yes. As we went through the quarter, we saw the fleet decline where we finished the quarter down 5% on fleet sequentially. And as we were bringing down the fleet, we saw the utilization tick up a little bit. So we ended up in June, obviously, at a higher utilization than what we saw in April. And we got to that kind of mid to upper 70s utilization target here at the end of June. So we feel like we've got the fleet correct, given the current utilization. So kind of rightsizing of that rental fleet here by the -- by the end of the second quarter. As we look out for the third and the fourth, we are expecting to continue to bring the rental fleet down to kind of match that demand expectation, but not at the levels of nearly 2,000 units that we saw in the second quarter. And then like Robert said, if we do see something with Yellow Fleet -- Yellow Freight, we might see that utilization pop and maybe hold off on a few trucks that we were planning to move out of the fleet. So we will track that closely as we move through Q3 here and adjust the fleet accordingly.
Justin Long: Great. That’s helpful. Thanks.
Robert Sanchez: Thanks, Justin.
Operator: At this time, there are no additional questions. I'd like to turn the call back over to Mr. Robert Sanchez for closing remarks.
Robert Sanchez: Okay. Well, thanks, everyone. Thanks for getting on the call and your interest in the company. Have a safe day.
Operator: That does conclude today's teleconference. We thank you all for your participation.